Wayne Pickup: Okay. Good morning, and thank you for joining. I'm Wayne Pickup, the CEO of The Lottery Corporation. With me today are our CFO, Adam Newman; and Chief Commercial Officer, Callum Mulvihill. We'll run through the investor presentation lodged with the ASX and take any questions you have. I've now been with the business just under 3 months after relocating from Chicago. Let me firstly share with you some of the observations I've had so far on Slide 4. Many of these are the same things that attracted me to join the company in the first place. The Lottery Corporation is a global leader. We have exceptional assets, household brands, millions of Australians engage with our unmatched license portfolio. The balance sheet is strong. That gives us options and it supported -- and it has supported consistent shareholder returns. The culture is also strong. There's great people here, and that's not always a given. This is supported by capable leadership and teams that understand their business and their customers. I've spent time with our technology teams, our commercial teams and our contact center, listening to how we serve and interact with customers. I've spent time with our technology teams, our commercial teams, and our contact center, listening to how we serve and interact with customers. I've spent time in the lottery outlets across the Eastern Seaboard from news agents in Central Melbourne to pubs and clubs in regional Queensland. It's clear we have an engaged workforce and a strong retail network. So I'm starting from a position of strength, but there is upside ahead, and that's what energizes me about the opportunity. Our strategy has served the company well, but we can unlock more value. And going forward, we have 3 focus areas as outlined on Slide 5. The first is accelerating our evolution as a digital entertainment company. This is evolution, not revolution. It's about embedding technology across the enterprise, modernizing platforms, and creating seamless customer experiences. I want to be clear, this is not at the expense of retail. It's about choice and integration. In fact, online store syndicates show how retailers can engage with this digital shift. Many of our retailers, in fact, about 80%, sell shares in their store syndicates through our online store syndicates platform. This is enabling lottery agents to earn revenue around the clock, extending well beyond the traditional shop front. We've just rolled out a major digital signage upgrade across 3,300 lottery outlets that enables more dynamic in-store advertising. It also unlocks the next phase of delivering data-driven, automated, and API-enabled content into stores. This will improve our speed to market, promotional effectiveness, and consistency across our network. Ultimately, we want customers to choose us for entertainment, not just for big jackpots. Technology enables personalized experiences at scale. That's what keeps customers coming back and engaged. The second theme is concentrating on our local, highly regulated markets. The Australian market is attractive. The license structure is unique, generally decades long with staggered maturities. We've got a long history of growth through jackpot and economic cycles, underpinned by population growth and one of the highest spends per capita globally. There's broad acceptance of lotteries. Typically, 1 in 2 Australian adults participate each year, but only half of them have registered and there's upside there. So the focus will be on existing business and adjacent lottery opportunities. The third theme rather is focused execution. The fundamentals we'll maintain are straightforward: continued innovation and active management of our game portfolio. We will make strategic technology investments to maximize the digital opportunity and oversee disciplined capital and cost allocation to deliver strong returns on our shareholders' capital. We intend to detail more about our strategy at an Investor Day in the middle of this year. Now let me turn to the results on Slide 6, which demonstrates the business' underlying strength. Firstly, jackpot activity was well below statistical averages. In fact, it was the leanest jackpot environment we have seen since listing. Despite this, we delivered solid financial outcomes. Strong free cash flow enabled us to maintain the dividend in line with the prior period. More than half our lotteries turnover typically comes from Powerball and Oz Lotto, so a lean jackpot run has impact. That flowed through to participation levels and also impacted digital share growth. Saturday Lotto game changes delivered with high early retention of the recent price increase, albeit in a low jackpot environment. Keno continued its strength in retail, capitalizing on pub and club foot traffic. Our balance sheet gives us strategic flexibility few lottery businesses have globally. We remain mindful of balancing investment with generating returns to shareholders. I'll now hand over to Adam for the group financial overview.
Adam Newman: Thanks, Wayne. Hi, everyone. Thanks for taking the time to join us here this morning. Let's move to Slide #8. As Wayne has covered, our first half '26 was a period of lean jackpot activity with Division 1 offers for jackpot games down 14% on the PCP. Despite this, the group delivered a resilient financial performance, reaffirming the strength of our business model. Group revenue was $1.8 billion, demonstrating the value of our diversified portfolio and helping to cushion jackpot variability. OpEx growth remained tightly controlled at 2.9%, consistent with our disciplined approach to managing costs. EBITDA was $367 million, down just 0.7% with Keno's record performance partly offsetting jackpot-related impacts. Interest expense rose 2% due to both lower average cash balances and lower average rates. We remain materially insulated from movements in interest rates given around 85% of our debt is fixed or hedged against foreign exchange movements, and we earn significant income on our cash balances. And while net profit after tax declined 1.4%, the directors determined to pay an $0.08 per share fully franked interim dividend in line with the first half of 2025, and this represents 103% of net profit for the half. If we turn now to Slide #9. Our performance reflects the underlying strength of the portfolio despite the jackpot headwinds that adversely impacted EBITDA by approximately $26 million versus the prior period. Several drivers demonstrate the business resilience. Base games performed strongly with Saturday Lotto and Lucky Lotteries being the standouts. Instant Scratch-Its continued their momentum, supported by new products and pricing, where Keno delivered another record half with strong retail visitation and venue partner initiatives sustaining growth and mirroring the themes that we saw in FY '25. Importantly, digital turnover continued to grow, reinforcing what we highlighted at the full year results that digital penetration is a structural margin driver, which represents significant long-term opportunity for us. In summary, these elements enabled the business to manage short-term jackpot volatility with diversification across our portfolio of games, channels, and customer segments continuing to provide stability. If we can now move to Slide #10. And as we have stressed previously, we manage our business for the long term with the strong fundamentals in mind and our cost and capital discipline is not unduly influenced by short-term jackpot outcomes. OpEx for the half was $146 million, and this was an increase of $4 million or 2.9% and reflected the timing of Powerball product changes and increased employee costs. FY '26 OpEx target is $310 million to $320 million. And consistent with prior periods, our OpEx is expected to skew to the second half, and this is predominantly due to advertising and promotion expenditure, technology, and project-related costs. We'll continue to seek to manage costs tightly, maintaining the aim of keeping annual OpEx growth below normalized revenue growth over time. CapEx for the half was $34 million and is expected to ramp up through the second half with digital and core transformation and retail terminal upgrades continuing. We are targeting FY '26 CapEx between $90 million and $100 million, consistent with the investment profile for the next 3 years that we described at the full year results release. This is a resilient business that generates strong and predictable cash flows with low CapEx and a highly variable cost base. We allocate capital in order to drive long-term shareholder value, and our balance sheet provides us with flexibility to maximize shareholder returns. Net debt-to-EBITDA is at the bottom end of our targeted leverage range at 3x. We have $560 million of available liquidity and a 4.5-year average debt tenor, preserving flexibility for disciplined investment and returns. The Board remains committed to the 3 to 4x leverage target, and we continue to explore opportunities to deploy capital to deliver long-term growth that's in line with our strategy, which includes license enhancements. We'll always exercise discretion and make pragmatic risk-based assessments of any near-term investment requirements and ultimately, we'll seek to return any excess funds to shareholders in the most tax-efficient manner. So in conclusion, with strong cash flows, a robust balance sheet, and continued focus on our costs as well as digital transformation that's driving both margin expansion and improving the customer experience. We remain well placed to deliver long-term value to our shareholders. Thank you, and I'll now hand back to Wayne.
Wayne Pickup: Yes. Thanks, Adam. Turning to the business results, starting with lotteries on Slide 12. A strong underlying performance given jackpots were well short of statistical norms, making it the least favorable half for jackpots since our ASX listing in 2022. The net result being a circa $400 million unfavorable impact on turnover versus circa $200 million unfavorable impact in the first half of '25. That said, the changes to our 2 largest games, Powerball and Saturday Lotto are resonating. Saturday Lotto's $6 million core offer is generating good incremental revenue every draw. Early signs on Powerball pricing are positive. If we turn to Slide 13, it shows digital share of turnover grew to 41.2% of lottery's turnover in the half. Big jackpots stimulate participation. You can see the impact their absence had on active customer numbers during the half. If we go to Slide 14, it shows our portfolio diversification at work. Base game growth largely offset the unusually low jackpot games with Saturday Lotto being the standout. Instant Scratch-Its were also particularly successful, a refreshed range and the use of higher price points such as $30 sold through well, especially in key gifting periods such as Christmas, where we had sales up 8.5% over last year. Lucky Lotteries was up over 60%, driven by the Mega jackpot, which reached $21 million at period end and now sits at just over $24 million. If we turn to Slide 16, it shows our success refreshing the game portfolio. The new $6 million Division 1 offer and price increase for Saturday Lotto in May won immediate acceptance. The early price retention of 103% is well above expectations. For context, that surpasses the retention of prior Saturday Lotto price increases, including during COVID when the Division 1 offer went to $5 million. The full effects of the Powerball price change introduced in November are expected to become evident with a return to statistically normalized jackpot levels over time. Set for Life will be our next game refresh, which we want to implement in September 2026, subject to the necessary regulatory approvals. The changes are backed by research. Customers are saying they'd like more upfront prices and promotional draws. So with that in mind, we'll introduce an extra $200,000 upfront for Division 1 winners and a subscription price increase from $0.60 to $0.70 is going to enable more promotional offers. Moving to Slide 17 and 18 on Keno, which continued its strong performance. Turnover was up 7%, growing above historical trend. This performance was valuable given the softness in jackpot games and a reminder of why Keno in the portfolio matters. Promotional initiatives and venues and the clear positioning of Keno as a fun social game as part of the growth story amid strong visitation in pubs and clubs. We have prioritized making sure our in-venue assets, terminal screens, marketing collateral are set up for maximum impact. The online channel returned to growth post the introduction of spend limits in FY '25 with turnover up 3.5% in the half. That's positive as we look to build the online Keno opportunity going forward. Slide 20 sets out our priority areas for the next 12 months. First, the digital experience. We're growing digital, but we can capture growth faster. Digital-first customers expect seamless experiences, instant gratification, and personalization. There's an opportunity to better embed data and AI across the enterprise, so we use technology to understand what each customer enjoys and just simply show them more of it. On short-term initiatives to drive registered customer sign-ups, check and collect will let customers scan their ticket and claim their prize immediately via our app. We're rolling out QR codes in our retail outlets to simplify customer registration and help acquire customers. These are practical steps that remove friction. On product, Set for Life is next for refresh. But as we think about the portfolio, we'll increasingly test opportunities beyond traditional lotteries. The focus is on customer entertainment, not just jackpot anticipation. We're reviewing how we position and market our products. The evidence tells us customers choose by game first. They play Powerball or Saturday Lotto or Oz Lotto, not lottery as a category. There's an opportunity to lean into that insight, making our hero products the stars and building stronger entertainment experiences around them. This is about amplifying what already works. We have strong product brands, and we will make them more central about how we go to market. Keno also fits into this evolution. It's entertainment beyond the jackpot cycle, and we'll continue to invest in it. There's more Keno growth to capture, including online where we are underrepresented. On the operating model, we'll structure for the speed and agility required in a competitive digital market. Finally, we'll prioritize protecting and enhancing our license portfolio. We hold incredibly valuable and unique licenses. These carry rigorous regulatory obligations and in return, generate material lottery duty revenue that funds state services and community programs as well as supporting thousands of small businesses. This is a social compact we take very seriously. But the competitive landscape is evolving. Operators licensed in the Northern Territory offer foreign matched lottery products that sit outside the broader established state-based regulatory frameworks. They contribute no lottery duty to Australian governments other than the NT and operate under lighter regulatory obligations than we do. The federal government continues to review these products. The issue should be more fully addressed. We'll continue to advocate for consistent regulation that upholds the integrity of Australian lotteries and preserves the value of our licenses. Where opportunity exists to extend or enhance our licenses, we'll do so prudently deploying shareholders' capital. Now let me wrap up with Slide 21. The first half shows the core business remains resilient and the fundamentals are sound. The changes to games like Saturday Lotto are delivering as intended. Looking forward, there's upside. We have the assets, market position, and financial strength to unlock more value, be more relevant, and position the business around digital entertainment. That's the business we'll be building, not just a steward of licenses, but a company that earns its market position every day. We intend to detail the strategy further at an Investor Day in the middle of the year. I look forward to taking you through our plans in more depth then. We'll now open up for questions, and Adam and Callum will join me.
Operator: [Operator Instructions] Your first question comes from Rohan Sundram from MST Financial.
Rohan Sundram: Just one from me. Thanks for the summary, and thanks for the strategic insight. In light of that, Wayne, and with regards to the slides in the pack, where -- which opportunities excite you the most? And where do you perceive the best uses of capital for the group?
Wayne Pickup: Thanks for the question. I'm not sure I want to rank opportunities, and we're still sort of actively evaluating. But there's -- look, I think there's a lot of upside on digital that we can deliver in the business and simply make the games more engaging to customers, whether that's through retail or whether that's through app or online. But I think I wouldn't go as far to say it's low-hanging fruit, but it's certainly where a lot of short-term focus will be applied.
Operator: Your next question comes from Justin Barratt from CLSA.
Justin Barratt: I also wanted to sort of look at the strategic opportunities -- or sorry, priorities for '26. And Wayne, your comment in the presentation around exploring new product opportunities and I guess expanding on that in your prepared remarks, increasingly test opportunities beyond the traditional lotteries. I was just wondering if you could share any more details around those opportunities and what you've potentially seen in other markets that you think could work here in Australia?
Wayne Pickup: Sure. I mean, at the moment, we're sort of actively evaluating those. I think there's opportunities in terms of just the way we present the product and the front end and making that more engaging and it's almost like a product in front of a product in some regards. So making the user journey just far more engaging and fun. Then there's certainly room in the portfolio for new product, but that takes time. It takes time to build. It takes time to gain regulatory approvals. So these are all under active consideration. And I'm not able to get into specifics today, but certainly at the Investor Day that we will schedule around middle of the year, I'll be able to sort of get into more details then.
Justin Barratt: Great. My follow-up question, just on Saturday Lotto, clearly had very strong retention to that game change last year. But I just wanted to get your expectations on how much that retention has benefited from the weaker Powerball and Oz Lotto jackpot run recently. And I guess whether you still -- or do you think that it will -- that retention will normalize to that sort of 50% to 75% range in time?
Wayne Pickup: It's a good question. I'll pass over to Callum, who can provide more historical reference than I can.
Callum Mulvihill: Yes. Thanks, Wayne. Thanks, Justin. I think probably a good frame of reference is the last change, which was during a COVID period, which I think we experienced about an 80% retention early on sort of from 8 weeks pre and 8 weeks post. And then we had a real COVID environment that sort of clouded that one. This one is probably surprised on the upside to be holding 103% after 29 weeks is impressive to say the least. It's probably surpassed expectations. And I think we settled -- I think that one back in 2000, we settled at about 50%. So sort of early days, it was 80% and settled at 50%. So this is certainly surprised on the upside. And I think back in that jackpot environment, it was highly varied back in 2000 as well.
Operator: Your next question comes from Kai Erman from Jefferies.
Kai Erman: You've obviously shown pretty strong pricing momentum across the last 2 Powerball increases, the most recent Saturday increases. And how are you guys thinking about pricing going forward? Do you still think it's a sort of every 2- to 3-year cadence? Or do you think you can sort of get into an annual price rise kind of cadence given the momentum that you've shown to date?
Wayne Pickup: Wayne here, I can take that. It's something that the business has done extremely well over time, and it will be -- it will certainly continue to be one of our levers, but not the only lever that we look to pull. So I won't go much further than that just now other than, again, like I don't want this to be my stock answer, but it's under active consideration. It will certainly be one of the levers that we have in the toolkit going forward. And as you probably know, with these lottery products, that price increase correlates through to bigger jackpots, bigger prices. So there's an immediate upside for customers, for our retail partners as well through commissions. So it's certainly something that we'll continue to look at or continue to utilize. And we're also -- the frequency of those is under active consideration.
Kai Erman: Understood. And just a follow-up, you mentioned in your sort of earlier remarks around balance sheet optionality given you are sort of at 3x leverage. Would you be able to give any clarity on what some of those options might be?
Wayne Pickup: Adam, do you want to take that?
Adam Newman: I'll have that, Kai. Kai, I'll just go back to my earlier prepared comments. I think in my speech at the end of the day is we can't get overly specific. The Board remains committed to that 3 to 4x leverage target. And obviously, we're looking at things on a risk-adjusted basis within our strategy of which license enhancements form an important part of that. And to the extent that the Board determines that we've got excess funds, then we'll seek to return them back to shareholders in the most tax-efficient manner.
Operator: Your next question comes from David Fabris from Macquarie.
David Fabris: Just with my first question, you made some comments around the ability to maybe extend existing licenses. Can we talk through that big license, which expires in '28? I mean if we think about Victoria, they did open up the Keno license to multiple operators back in 2022. Should we be worried about what Victoria might do with this lottery license?
Adam Newman: Yes. So David, Adam, I'll take that again. It's a hard question for us to answer. Obviously, we're in discussions with governments on a number of different jurisdictions across the time. But ultimately, you need scale in these lottery businesses at the end of the day. So opening up to multiple participants is not necessarily readily easy to do. And I think you'll just have to see how that process opens up. Obviously, '28 is a couple of years away yet. And we'll just have to see how it plans out at the end of the day.
David Fabris: Yes. Got it. Understood. And the next question, look, just appreciate the prepared remarks around operating costs. But can you clarify whether first half '26 benefited from the low jackpot activity on marketing spend? And to kind of dovetail that, if we look at where OpEx has tracked in the first half over the last couple of years and at the midpoint of guidance, it kind of suggests a 46% first half weighting. I know you haven't provided FY '27 guidance, but under the premise of normalized jackpot activity, the fact you're launching new games in the first half or innovation, call it Set for Life in September, which probably requires increased spend. Will that phasing change? Or should we really think about cost for your business agnostic to volumes and it kind of tracks around or below inflation?
Adam Newman: Yes, you covered a lot of topics there. So maybe I'll just step back a little bit and say the first half, second half split that we're seeing this year is pretty consistent with what we've seen pretty much every year since we've demerged to start with. So -- and I think we've talked about it in the past that 50% of our costs are people. We do have some ebb and flow in relation to advertising and promotion spend subject to jackpot outcomes. And it would probably be fair to say that the first half maybe benefited from sort of low to mid-single digits from an advertising and promotion spend. I say benefited, but spend that wasn't forthcoming because we didn't have the revenue opportunity. And so if you look forward to the second half, a large proportion of that second half step-up that you're seeing does relate to advertising and promotion spend, of which some of that relates to an expectation that you'll get some potential mean reversion in the second half. Not all because it does -- we've got an Oz Lotto brand refresh going on at the end of the day. So it does depend upon certain timing of different campaigns and programs, but it's not completely dependent upon that. We haven't given guidance to look forward for FY '27. Obviously, we've given it for FY '26. All I can say is we spend a lot of time on our OpEx cost base come through separation at the end of the day. And as I mentioned in the prepared remarks, we're continuing to focus to keep our OpEx at or below normalized revenue growth over time.
David Fabris: Yes. Okay. But I guess under the premise of normalized volumes in first half '27, which is how we forecast, you'd expect a pretty significant step-up in OpEx commensurate with jackpot activity and marketing.
Adam Newman: I don't want to get and predict into FY '27. I'm not sure that necessarily holds what you just said.
Operator: Your next question comes from Sam Bradshaw from Evans & Partners.
Sam Bradshaw: Wayne, you mentioned that you believe you're underrepresented in online Keno and there's currently an ongoing review of online Keno and foreign match lotteries. Are you able to give us any color on the status of the review and how it translates to your strategy?
Wayne Pickup: No, I can't give you much more color than probably what you already are aware of. It's coming into this market from the U.S., it's -- frankly, it's a bit of an anomaly as it relates to the foreign match lotteries out of the ANZ, I know. Again, coming out of the U.S., the U.S. regulators and lotteries don't particularly like it. The fact that we have these sort of curious services operating through the U.S. and then reselling into international markets. But we -- what I'll say is that we are strongly in favor of fair regulated markets with transparent revenue arrangements with governments, and we'll continue to lobby for those arrangements vigorously.
Operator: Your next question comes from Andre Fromyhr from UBS.
Andre Fromyhr: Just wanted to ask first question about the health of the Powerball game and the underlying demand there. I guess you've called out a negative like-for-like year-on-year for Powerball, but at the same time, 61% retention of the 17% price increase. So I'm wondering, firstly, how you can reconcile that 10% growth that you call out in the retention calc with the like-for-like environment. But also, is it just too hard to judge in a period where you haven't seen major jackpots?
Wayne Pickup: Maybe I'll kick off and then hand over to Adam and Callum to sort of put more -- sort of being the new guy on the block, I can only sort of contribute so much. But -- it's always challenging when you sort of bookend a period with a game like Powerball. And I see the same thing with the Powerball product in the U.S. coming in still somewhat of an outside-in view, it is a very healthy product. It has millions of customers. It's a brand that Aussies love. And so if you look at it sort of big picture, it's gone through -- as these things do from time to time, it's gone through a statistically lean time, but that will regress to the mean. But it's certainly one of our hero products and one that we'll continue to invest in, continue to do more with and has a very, very strong loyal customer following. I don't know, Callum or Adam, if you want to add to that?
Callum Mulvihill: Yes. Look, if I can build off that, Andre, I mean, it's incredibly -- echo what Wayne said, incredibly strong product. It is our leading product. We've priced that product on its strength. It's now the premium-priced product in the portfolio. Yes, it's had a leaner run, statistically driven. But I think the retention is bang on where we would have expected it to be. It's far too short a period. Retention jumps around quite a bit from the low end to the high end. I think sitting in that 60% range at this point is exactly where we'd like it to see -- like to see it, and it's an incredibly strong product, and it is our leading product in the portfolio.
Wayne Pickup: And it performs extremely well on digital as well.
Callum Mulvihill: And the portfolio, as you would have seen previously, it feeds off its momentum. And obviously, the momentum that's had in the last half has been lower, but we know the customer recovers. And in the meantime, people have pivoted and we've seen people play in Saturday Lotto and that change be really well accepted. So it's a pretty dynamic environment, but there's no issues with the health -- with Powerball.
Andre Fromyhr: Great. My other question is specifically on the digital mix. We've seen it up year-on-year for the half but down a bit on the second half of '25. So how much of that is also relating to the lack of major jackpots? Or is there some seasonality there? And I guess the question is how much of a -- there's several mentions of digital as a strategic priority in the presentation today. But is that something because of the margin benefits that we're going to see more actively pushed up over the next few years?
Wayne Pickup: Yes. Wayne here, I can start again and if Callum or Adam want to contribute. We'll -- I mean, I guess, firstly, we'll sort of follow where the consumer goes. And the large jackpots certainly bring in -- yes, they're a strong acquisition tool for us in digital channels. So when you get an event like a $200 million or a powerful jackpot, you're getting -- I mean, it's just common sense, right? You're getting a whole lot of customers that come in that will play once in 1 or 2 years and then drop out again. What we want to do is obviously retain them. So the job isn't just around sort of acquisition. It's around giving them reasons to come back. And as I said at the start, this is why we sort of look there is opportunity in the portfolio. So overall, I look at it, and I think digital has plateaued a bit largely because of -- as a derivative of the Powerball -- particularly the Powerball jackpot environment. But there's opportunity there, a lot of opportunity there to do more with it. I don't know, Callum or Adam, if you want to add anything.
Callum Mulvihill: Look, the only thing that I would add to that it is a long-term structural trend that sustains many, many periods, and it has some short-term volatile sort of fluctuations around the macro factors like jackpots. But we're also investing in, as Wayne said, we bring them into the funnel and how do you make them stick and how do you make people register and give them reasons to register with us and convert them through the digital funnel. So there's investment in that space, but it does rely on some of those bigger macro factors like the game offers.
Operator: Your next question comes from Matt Ryan from Barrenjoey.
Matthew Ryan: I just wanted to ask a question around Slide 27, where you've sort of shown a pretty long-term chart of how resilient the lottery sector is. And I guess just more specifically the past years post 2020, where it looks like the growth rate is a bit elevated relative to history. Just curious on your thoughts on what's driven that? Obviously, the jackpots have been there. And as a result of that, just trying to get, I guess, some color on where to from here? I know you've talked about a $400 million headwind in the half, which is pretty elevated. But I guess we're all just looking for confidence that the reversal of that comes out rather than perhaps, I guess, an unwind of those years, which look to have grown quite a lot more than normal after that 2020 period. Any thoughts would be good.
Wayne Pickup: Yes. Well, maybe -- again I'll start and Wayne here. Matt, the look, I'm not going to predict what comes out of the Powerball machine. But these are just simple probabilities. So if we run those, we've got to assume that we're going to revert back to a mean and have jackpots throughout the year of $100 million plus on a relatively regular basis, right? So -- but again, I can't predict what -- unfortunately, sort of what balls get drawn on a Thursday evening or Tuesday evening. What we -- part of the strategy, and we'll sort of get into this more into the Investor Day middle of the year, but we also want to give -- when I look at the portfolio, we want to give people more reason to engage with us beyond that jackpot anticipation. So it's -- I haven't sort of quite looked at the chart the same way as you have, but I understand where you're going. But I'm certainly not concerned that we can't continue to drive sort of more growth, more engagement with what we have and with more innovation and product going forward.
Adam Newman: Sorry, Matt, I was just going to add one other thing. It's Adam here that we look at that chart from another lens is that we saw a lot of acceleration into the category as a consequence of COVID because everyone is sitting at home with nothing else to do. One pleasing thing that we've often referred to internally is that we've been able to lock in those benefits. So there was a new high watermark that came out of the COVID period for us in addition to the game changes that we were able to make during that period as well.
Callum Mulvihill: Yes. And thanks, Adam. I'll pick up. Probably on Slide 31, Matt, I mean, what we can control in that environment. I mean, clearly, we couldn't control COVID. We really couldn't control the $200 million event in '24. But what are the activities that we're putting in market to continue to capture the market as it evolves. I've always liked this chart because it does show an underlying long-term CAGR. We have been able to accelerate it even if you back out the noise of COVID and statistical one-offs. We've got activity to capture the market and keep growing the market. Keno sits on top there and just continues to grow steadily to add some diversification as well. So for me, this chart shows the resilience of this business. And then what can we control within that market is really Page 31 and beyond.
Matthew Ryan: Yes. I guess that's all really helpful. I'm just also curious as a follow-up, whether the volatility in earnings and cash flow poses any negatives for you guys? And I guess the context is that you're clearly showing what is a very defensive long-term chart. The share price appears to me at least to be trading more like a cyclical industrial around shorter-term events. But taking that out of it, are there ways, I guess, to reduce that volatility over time? Or is it something that isn't a real priority for you guys?
Adam Newman: Yes. I mean 50% of our turnover comes from jackpot games. So there is going to always be a period of volatility depending upon where those balls come out of the barrel, I don't think we can get away from that. The extent of how maybe you can smooth some of the volatility or grow, we've seen with Saturday Lotto game change, for example, which is the second largest game, we've been able to grow that game from a base game perspective. I don't think from -- we take -- I mean, it was interesting that you raised that chart on [ 27 ] because we do try to take a medium- to long-term view of the business and the decisions that we make. So I don't think -- one of your questions was does the volatility cause us concerns? I don't think it does internally in the way we manage the business and the way we look at run and make decisions. And then I think our balance sheet strength just gives us the overall flexibility to deal with some of this volatility as well.
Callum Mulvihill: And so Matt, I'll pick up that as well, less about cash flow volatility, but more about the volatility in the portfolio and a slight correction. My Page 31 is your Page 16, just on the product actions that we've taken over the period. But we do sequence the investment in our portfolio around the core base offers. And Saturday is an incredibly important investment. The fact that, that's stuck after 29 weeks, I mean, I can't overemphasize that provides stability in that core repeat behavior. And to Adam's point, you really can't do much about the noise and the volatility in those jackpot games. When they deliver, it's fantastic. But in short periods, they can go away a little bit.
Operator: Your next question comes from Adrian Lemme from Citi.
Adrian Lemme: Just in terms of the simplification of the org structure, do you expect this to lead to any material savings in FY '27? Or do you expect any savings to be reinvested into digital or other areas, please?
Wayne Pickup: The -- I mean, we're actively looking at the org structure at the moment. It's more around sort of getting clear lines of accountability. And I think we're underinvested in some areas and maybe the counter is true. But it's too early to tell whether we expect any material savings and it's -- but we do anticipate some changes.
Adam Newman: Maybe I'll just add, as you heard us talk a bit before about keeping our OpEx growth below our normalized revenue growth over time. And the benefit that you get in this business in terms of a high degree of our costs are variable and the ability to grow your top line is very beneficial in terms of the way we've levered to the bottom line at the end of the day as well. So reinvesting some of those OpEx savings back into growing the top line is something that we actively seek to do as well.
Operator: Your next question comes from Liam Robertson from Jarden.
Liam Robertson: Just two for me. First one, just on active customers. I appreciate the jackpot weakness, but with that number falling to 8.6 million, is there anything you can tell us about genuine churn versus jackpot-driven lapses? Like anything you can quantify for us there?
Wayne Pickup: Would you mind sort of just asking the question again or maybe just slightly rephrasing it? I'm not sure I follow.
Liam Robertson: Okay. Sorry, I've just jumped on the call on a conflicting call. So I'm just interested in -- I mean, half-on-half looks like customer numbers in total or active customers have fallen to 8.6 million. I'm just interested if there's anything maybe in the digital cohort that you can tell us about actual underlying genuine churn in active customers as opposed to what has just been driven by that jackpot weakness?
Wayne Pickup: It's predominantly driven by jackpot. We've got the loyal sort of registered, particularly the registered customer base. There's a very strong registered customer base that is omnichannel that sort of play both in digital and retail. I mean what you find is when you get these sort of big spikes, these one-off jackpots, people just come in for those -- just those one-time events and then back out. The job to be done is for us to retain them. But there's -- in terms of the data that I see coming into the business, there's no structural issues in terms of the core player base.
Liam Robertson: Okay. Perfect. Makes sense. And then I mean, conscious of the comments you just made to the previous question around OpEx, you've given out -- you pointed to looking to automate a bunch of your processes. Conscious that 50% of your OpEx base is currently labor. So I'm just conscious how we should potentially think about composition moving forward, conscious that you might need to invest short term, but long term, if there's sort of anything that might change in the composition of your OpEx base?
Wayne Pickup: Adam, if you want to add to that. But I don't see any sort of major deviations from -- we will continue to be prudent in terms of the way we operate the business. We're probably underinvested in some areas around AI at the moment, but -- and we can find savings elsewhere to sort of offset those. But it's -- this is sort of an active analysis at the moment. But what I would say, it's a balancing act. We're definitely not going to see OpEx go up outside of target ranges, that's for sure.
Operator: There are no further questions at this time. I'll now hand back to Mr. Pickup for closing remarks.
Wayne Pickup: Look, well, just thanks for joining my first earnings call at TLC, and I appreciate you all following the business. This -- just to finish on, this is an incredibly healthy business. We've got millions of loyal customers throughout Australia, brands Australians love. And I'm looking forward to contributing and there's opportunity to do more. So thanks for further engagements, and you can get on to your next call now. Thank you, guys. Bye.